John Dawson : Good morning, and thank you all for joining the call. In a moment, Zoran will share his highlights of 2023. Ben will then take you through our financial performance in more detail and discuss the outlook for 2024 before handing back to Zoran, who will look in more detail at the growth opportunities for the business before we open up the floor to questions. We have just over an hour available for the call today, and we should have well over 30 minutes for questions. We will ask you therefore to keep to one question and one follow-up question before joining the queue again. Let me remind you that this conference call contains forward-looking statements, and these should be considered in conjunction with the cautionary statements in our results statement issued earlier today. With that, now let me hand over the call to Zoran.
Zoran Bogdanovic: Thank you, John. Good morning, everyone, and thank you for joining the call. 2023 was a strong year for Coca-Cola HBC with significant strategic and operational progress. It's a privilege and pleasure to be the voice for a committed team who have worked tirelessly to sustain our track record of growth, delivering record levels of revenue, profit and earnings. My two key takeaways for you today are simple. Our growth strategy is working; and our portfolio, operations and teams keep getting stronger and stronger. On almost all metrics we look at and review, our growth strategy is delivering great results. Our NARTD and sparkling drinks markets are growing despite adverse economic headwinds in most markets. This is happening because we are working with our partners to drive consumer activation and drive per capita consumption. More on this later. Within this, our market share continues to grow with an additional 110 basis points of NARTD, an 80 basis points share over the last 12 months. And we have delivered this while improving price and mix, maintaining affordability and improving our NPS scores with our customers. As well as delivering results today, we have invested for future growth. Firstly, invested in our portfolio, strengthening our 3 priority categories led by Sparkling, working through our powerful partnership, particularly with the Coca-Cola Company, to drive innovation and consumer activation as well as making selective acquisitions like the acquisition of Finlandia. Secondly, invested in our bespoke capabilities through targeted CapEx and building stronger teams by leveraging the benefits of our Dolphin and Oxygen programs. We discussed at our Investor Day in May redesigning and simplifying the organization and processes for growth. And thirdly, invested in sustainability. Investing in long-term programs that make a meaningful difference to our impact on the environment and the communities in which we operate. Our operational progress is driving strong financial results. Our organic revenue growth of 16.9% was very strong with solid volume performances from our strategic priority categories and good price/mix improvements. Volume leverage and good cost management helped deliver nearly 18% organic growth in EBIT and a record high comparable EBIT. As a result of the strong organic growth, our EBIT margin grew 50 basis points on a reported basis to 10.6%, a much stronger outcome than we had anticipated earlier in the year. We also delivered a record free cash flow of €712 million, which helped reduce net debt to €1.6 billion. This enabled us to increase our returns to shareholders and initiate €400 million 2-year share buyback program, demonstrating our confidence in future growth and consistent with our capital allocation priorities. Overall, the combination of improved profitability and strong capital discipline helped improve return on invested capital by over 230 basis points to 16.4%, a strong performance. Ben will take you through the drivers of this in more detail. Before I hand over to him, let me share some commercial highlights, starting with our category results. Sparkling continues to be our main growth engine, representing around 70% of our portfolio. Sparkling volumes grew by 2.5% overall with growth accelerating in the second half of the year. Trademark Coke grew volumes led by high-single-digit growth in emerging markets. Coke Zero grew across all segments. Sprite also grew well with a particularly good performance in developing markets. Adult Sparkling benefited from the relaunch of Kinley, helping deliver mid-single-digit growth in established markets. Turning to Energy. Volumes grew by nearly 30%. Growth was strong in each segment, but particularly emerging with the continued success of Predator in Nigeria and successful launches in Egypt of Monster and Fury. This was the 8th consecutive year of strong double-digit growth. Volume growth in Coffee was also very strong, up over 30%. We continue to make good progress on out-of-home customer recruitment, adding 5,000 outlets in the year. Our segmentation strategy with Costa and Caffe Vergnano is working very well. I would also call out a very strong performance from Sports drinks and Premium Spirits. Turning briefly to our segments. We have delivered consistent strong revenue and EBIT performance from all 3 segments. In particular, Established and Developing delivered good improvements in EBIT margins even as we continue to invest in long-term growth. As I said at our Capital Markets Day last year, we are very confident in our strategy. And now, as we see in these full year results, it is evident that we are on the right track, driving growth and creating value for our customers, consumers and shareholders. Let me now hand you over to Ben, who will talk more about our 2023 performance before I return to discuss our medium-term growth ambitions.
Ben Almanzar: Thank you, Zoran, and good morning, everyone. In 2023, our organic revenue growth was 16.9%, a very strong performance given continued cost inflation and the global macroeconomic and geopolitical challenges. Against this backdrop, achieving volume growth of 1.7% across the business was a very positive result and with encouraging trend in the fourth quarter where we saw volumes up 6.8%. Revenue per case grew 15%. Of these, pricing continued to be the largest contributor, accounting for the majority. Package and category mix were also accretive with continued improvements to our single-serve mix. 2023's revenue performance follow 14.2% organic revenue growth in 2022 and over 20% in 2021. 2023 comparable EBIT was €1.84 billion, exceeding €1 billion for the first time in our history. On an organic basis, comparable EBIT grew 17.7% in the year. Major contributors to these results were a good conversion of our revenue growth management initiatives together with effective actions on input cost inflation, albeit partially offset by transactional FX impacts. In addition, we delivered modest improvement to operating costs as a percentage of revenue. While we continue to invest in the business in pursuit of our vision of being the leading 24/7 beverage partner, our cost management actions contributed to an 80 basis point improvement to gross margin and a 50 basis point improvement to comparable EBIT margin. On an organic basis, our comparable EBIT margin improved by 10 basis points. On a reported basis, our average comparable EBIT growth is more than 10% since 2019, showing our sustained long-term focus on increasing the financial fitness of this business and creating shareholder value. Let's now look at the drivers of performance by segment. To keep it simple, I'm going to discuss these figures on an organic basis, as you can see on the slides. In the Established segment, revenues grew by 12.3%. Revenue per case was up 15.1%, driven by price increases weighted to the first half. Positive category and package mix also helped. We continue to focus on single-serve activation, resulting in a 320 basis point improvement in single-serve mix. Established market volume declined by 2.4%, reflecting tough comparatives, particularly in the middle of the year, but with an improving trend towards the end of the year. Sparkling volumes were slightly lower versus prior year, largely reflecting comparable growth of over 9% in 2022. Within Sparkling, Coke Zero and Adult Sparkling delivered good mid-single-digit growth. Energy volumes expanded by mid-teens despite very tough comparatives with good growth in Monster. Coffee also grew strongly, up mid-20s despite lapping strong growth in 2022. Sales declined by high-single-digits, driven by the water category, especially impacting Italy, where we made conscious choices to prioritize profitable revenue growth. In terms of countries, I would call out Greece, delivering a good performance in Sparkling with high-single-digit growth driven by Coke Zero, Fanta and Adult Sparkling. Results were helped by a prolonged tourist season. Ireland and Switzerland also grew volumes in the year. As we've previously said, improving margins, while investing in growth has been a key priority for some of our established markets, particularly Italy. I am therefore very pleased that our Established segment improved comparable EBIT margin by 100 basis points. Turning to the Developing segment. Revenues were up over 18%. Revenue per case increased by 20.2%, driven by pricing initiatives and positive category impact mix. As I highlighted this time last year, we are focused on growing the share of multi-packs of single-serve. We are now reaping the benefits of this with a positive contribution from package mix for the segment as a whole. Volumes were down 1.7%, but with an improving trend. The full year performance largely reflects cycling very strong growth in 2022. Across the categories, volume trends were broadly consistent. In Sparkling, Coke Zero delivered good growth and Trademark Coke was slightly negative, a good outcome given the very strong comparatives and underlying market conditions. Monster also delivered mid-teens growth. Coffee grew strongly throughout the year. In terms of country performance, I would call out Poland, where volumes increased by 1.5% despite lapping high 2022 comparatives. Sparkling grew low-single-digits, led by double-digit growth in Coke Zero and Sprite and an encouraging performance from Coke Zero Sugar Zero Caffeine launched in 2023. Like Italy, we made deliberate choices to focus on profitable growth in water at the expense of volume with good success. Developing segment comparable EBIT grew 26.9% with operational leverage and cost control more than offsetting input cost inflation. This is a testament to the hard work of our colleagues through excellent execution. In the Emerging segment, revenue grew by almost 20%, driven by both volume and good price mix. Revenue per case increased 16%, reflecting proactive actions to manage the impact of currency devaluation and cost inflation. Emerging markets volume grew 4.3%. Sparkling volumes were up mid-single-digits with good growth in Nigeria, Ukraine and Egypt. Energy volume grew strong double-digits. And we were very satisfied with the successful launch of our position in the category in Egypt. Still volumes were broadly unchanged year-on-year despite the substantial price increases in Water in Egypt during half 1. In terms of country performance, I'm particularly pleased with the volume growth improvements delivered in Nigeria. Our results demonstrate the depth of expertise and strength of our team in the country as they achieved strong market share gains, while factoring the impact of significant currency devaluation. Comparable EBIT grew by 11.7% and comparable EBIT margin was down 80 basis points organically, reflecting the net effect from currency headwinds. Moving further down the P&L, I'm delighted to report that comparable EPS grew 21.8%. This was supported by strong profit delivery and effective management of financial costs, capturing the spread between our largely fixed cost of borrowing and the benefit of rising interest rates on our cash deposits. As expected, our comparable tax rate of 27% was at the top end of our guided range. Consistent growth in comparable EPS led us to recommend a dividend of €0.93, up 19% from 2022, in line with the long-term payout ambitions of our dividend policy. CapEx increased by €85 million in 2023 to €675 million. Looking at some specific investments during the year. We expanded manufacturing capacity adding 7 lines, 2 of those in the high-growth Energy category. We also increased our footprint of energy-efficient coolers, now over 54% of our fleet, to help support broader market presence and drive single-serve growth. And we invested in our sustainability goals, including rPET production and packaging solutions, as Zoran mentioned, and he will expand on that shortly. CapEx finished at 6.6% of revenue at the lower end of our target range, largely reflecting the strong top-line growth. Free cash flow increased by $67 million year-on-year to $712 million, another record high, driven mainly by profit. Our balance sheet remains very strong. At the close of the year, net debt to EBITDA was 1.1x even after completing the Finlandia deal in November. Our priorities for capital allocation are very clear. To be the leading 24/7 beverage partner, we'll make thoughtful choices ensuring that we deploy capital efficiently and effectively in service of profitable growth. For example, we continue to invest in acquisitions that further improve our portfolio or our capabilities, particularly around strengthening our route to market for customers and consumers. Finlandia was a good example of a targeted portfolio enhancement and remain -- and we remain open to seizing the right opportunities as they come up. Our capital discipline has also allowed us to drive higher returns to shareholders. In November, we launched a €400 million share buyback program, reflecting the Board's long-term confidence in our business performance, the prudent financial management of our balance sheet and our commitment to return capital to shareholders responsibly. To date, we have returned €42.6 million through share buy back. Taken together, I'm pleased to see not only increased shareholder returns with strong growing dividends, while maintaining a high level of investment in the business, but also record ROIC performance even as we managed through another challenging year. This gives me great confidence in the future. All in all, we delivered a strong out-turn in 2023, well ahead of our initial expectations for the year. As a result, it represents an even better platform from which we can build the future and deliver our medium-term growth targets. 2024 will be an important year of that journey and we expect another good performance. At this early stage, we expect Group organic revenue growth to be within our target range of 6% to 7%. On a comparable basis, cost per unit case should increase low-to-mid single-digits. We continue to face transactional FX headwinds, particularly after the latest devaluation of the naira, but the COGS line will also benefit from translational effects. Taken together, organic EBIT growth should range between 3% and 9%. Before I hand you back to Zoran, let me just say how much I have enjoyed my time here at Coca-Cola HBC. It's been an honor to be the CFO of such a dynamic high-growth business. I know I leave the company in a very strong position, and I wish Zoran and the rest of the team many years of future success. Thank you. And with that, over to Zoran.
Zoran Bogdanovic: Thank you, Ben. And on behalf of the Board and the company, I'd like to take this opportunity to thank you for your contribution over the last 3 years. I have appreciated your counsel and support and I know you will be missed by the company. On behalf of all of us, thank you, and best wishes in your next endeavors. I'm immensely proud of our team as we delivered the third year of double-digit growth and record profits. They have worked together as one team, guided by our purpose of opening up moments that refresh us all, investing to achieve our vision and aligned by our values with the experience of our customers and consumers at the heart of everything we do. I would like to thank them for their tireless efforts. I would also like to thank our customers and partners for their ongoing support throughout the year, which motivates us to keep raising the bar. As I touched in my opening remarks, the growth we've delivered in 2023 is the result of strong foundations we have been building and leveraging for over a decade. Deep understanding of our markets, combined with our agility, enables consistent and superior execution through periods of market stability as well as over periods of significant change. Driving growth and managing risk is in our DNA. Whether over 1-year, 3-year or 5-year view, the ability to drive top-line growth underpins our fundamental success. As we have said many times, key to this is our approach to revenue growth management. Combined with our unique 24/7 portfolio, the result is consistently strong growth. This consistency of execution underpins the confidence we have in our growth algorithm. In short, growth is at the heart of the business, its people, its capabilities and its processes, driving market growth, gaining value share and improving price and mix, balancing premiumization with affordability. The consistency with which we have been able to deliver high levels of growth across our strategic priority categories of Sparkling, Energy and Coffee is also a testament to this. And we are making active choices to prioritize these categories as we continue to see the highest potential growth from them. For example, in Sparkling, the foundation of our long-term growth, we've delivered consistently high levels of revenue growth on a 1, 3 and 5-year basis. Underpinning this has been the strength of our partnership with the Coca-Cola Company. Working together, we've delivered strong consumer-centric marketing plans and execution initiatives to grow per capita consumption, product innovations, to address consumer needs and impactful relaunches likely to refresh engagement. Together, we manage a much stronger and a more innovative pipeline of new products, for example, the Zeros and Double Zeros, flavor and format-driven product variants, sustainable packaging solutions and much more. This partnership and what we achieve together continues to be the cornerstone of our growth, growing our market and growing our market share. Turning to Energy. Our ambitions here are unchanged. We expect to build Energy into a double-digit contribution of our business over time. We will do this by driving significant growth through increased consumption and an expanded footprint. Our objective is to establish a leadership position in all our markets, so we are keenly focused on growing our share. We are doing this with a segmented approach to brands deploying Monster, Predator, Fury and Burn as appropriate. Emerging markets will continue to play a big role in the future. Development of the brand in Nigeria and now Egypt will be a big contributor to growth. We are also seeing significant opportunities to develop a category-leading position in Zeros as well. Energy also offers us the opportunity to bring more bottling in-house as we gain scale and efficiencies with volume growth. This will also help us support the fast introduction of new product innovations. Turning briefly to Coffee. Our opportunity remains significant. We are investing ahead of the curve to build our right to win to really capture the potential of this huge category. The segmented strategy with Costa playing in Mass Premium and Caffe Vergnano in super-premium is working well. Supported by investments in data insights and analytics and in-market telematrix, we are continuing to build our capabilities to sustain strong growth. As Naya, our Chief Operating Officer, discussed at our Capital Markets Day last year, the investments we are making in our bespoke capabilities drive our growth algorithm. We are building our prioritized capabilities in an interconnected way. At the heart of this is our objective to drive personalized execution at every outlet. A good example of this is a project we've been running to integrate new consumption data sets developed by the Coca-Cola Company into our segmentation analytics to identify consumer profiles where we can undertake targeted activation at scale, but with highly relevant and thoughtful programs. Doing it in this way, optimizes the resources deployed and maximizes the conversion of the targeted profile. In this example, the focus is on matching our identified consumer profiles to analysis of outlets to focus down on the dinner-at-home devotee and 2,650 stores where they are frequent shoppers. Targeted actions can then turn them from intenders to weekly plus consumers. It is a great example of the many ways the Coca-Cola Company team and us can drive market share gains and support the successful growth we have seen in Nigeria, for example, despite the other challenges in the region. Taken together, the combination of our 24/7 portfolio, the attractive growth characteristics of our markets and strength of our bespoke capabilities contribute to us delivering a proven track record of growth across all 3 segments. And the consistency of that growth has been key even with sizable position in emerging markets. Our ability to execute commercially with our long experience of managing through different economic conditions, delivers consistent high levels of revenue growth over time. Last year, we made a great progress on sustainability. Romania became our first market to have all three elements of packaging circularity with 100% recycled bottles, in-house asset production and deposit return scheme. By the end of 2023, we had deposited return schemes in 6 of our markets with Republic of Ireland live in February. We are driving packaging innovation. In Austria, we commissioned a new RGB line for both our universal 1 liter and new 400 ml refillable bottles. We also introduced an industry-leading innovative paper solution to replace shrink plastic on multi-packs or 1.5 liter PET bottles. You can see on the slide that our 2023 sustainability performance was recognized externally by leading scores from major ESG benchmarks. Let me call out just one, the 2023 Dow Jones Sustainability Indices, which ranked us for the second time as the World's Most Sustainable Beverage Company. And I'm really proud that in December, we launched the Coca-Cola HBC Foundation, focusing on supporting our local communities. We made an initial donation of €10 million, and I'm looking forward to reporting back to you on the projects we are supporting over the next months and years. Looking forward, we have all the building blocks in place to deliver strong growth and margin improvements in the future. Our medium-term targets, building on our strong performance in 2023, combined with a disciplined approach to capital allocation, creates a platform for strong compounding earnings growth. Thank you for your attention. And with that, let us now open the call up to questions. Operator?
Operator: [Operator Instructions] The first question is from Mandeep Sangha of Barclays.
Mandeep Sangha: My first one is really around your top-line guidance. So your guidance overall, sorry. So in terms of top-line guide, you have quite a narrow range at plus 6% to 7%, obviously, both at COGS and operating profit, you have a much wider guidance range. Could you maybe talk through the range of scenarios or possibilities that you think need to happen to deliver either the bottom end of your guidance or potentially at the top end of your guidance range on organic profit? And maybe a sort of a follow-up statement -- sorry, follow-up question is more focused on one of the individual markets in Egypt. You flagged that there was some impact from boycotts in the fourth quarter on Coke. Could you maybe give us an update on how that is developing in January? And how you maybe should think about that as a potential headwind for 2024?
Zoran Bogdanovic: I'll start briefly with the first question and then I'll let Ben to give more color and then I'll come back on Egypt. So right, as you said, we are guiding that for our top-line to be in line with the mid-term guidance of 6% to 7% where we see all 3 levers of price and mix and volume to play the role. Just a reminder that we are very early in the year. And from today's visibility, that's what we see and we are confident that we can deliver. Ben?
Ben Almanzar: Yes. On the organic EBIT guidance, we've set a range of expectations for EBIT growth between 3% and 9%. And that guidance considers several scenarios, including external risk we face and the opportunities we can also seize. So it could be towards the upper end of the range if we see stronger top-line momentum across our markets and if our cost per case inflation is lower than we currently expect. I would like to remind you that our mid-term EBIT target is for 20 to 40 bps expansion of margin and that's on average per year and we're confident on our levers that we can activate to deliver it.
Zoran Bogdanovic: And Mandeep, on Egypt, I’ll take the opportunity of your question just first to highlight that we are really pleased with the Egypt performance in 2023, particularly in half 2, when the business grew high-teens despite what is really a challenging environment and ongoing macroeconomic headwinds. And a reminder that in the second half, Sparkling grew 10% and Water grew very strongly around 50%. We’ve been – from the moment we took over and further stimulated with everything that has been going on in the country, we’ve really fast-tracked our development of commercial capabilities in the countries, development of our overall capabilities as we are really building strong foundations for this business for the years to come. So with that in mind, you’ve seen that second half has performed really strong in high-teens. And Trademark Coke, coming back specifically to your question, Trademark Coke volumes declined. Now as we all have heard other companies say, consumers have avoided the brands of multinational companies in response to the geopolitical situation in the Middle East. Now we have seen some improvements in trends in January. Hence, consumers reacted positively to locally relevant market initiatives, for example, like football. So for ‘24, we remain very close. The team on the ground know the situation really well and monitors it, monitors the situation. Hard to predict how this further unfolds unfortunately. However, our readiness to respond quickly and fast is what gives us confidence that we can sail through that.
Operator: The next question is from Matthew Ford of BNP Paribas Exane.
Matthew Ford : Just one and a follow-up for me. Just on the first question on negative transactional FX impact. Are you able to kind of quantify the impact you're expecting for 2024 and how much that is within your kind of 3% to 9% like-for-like EBIT guidance? And then just on a quick follow-up, just kind of following on from Mandeep's question. In terms of current trading in January, we're 6 weeks into Q1, anything you'd call out across your markets that has kind of surprised you or trends broadly in line with the exit rate from Q4? Anything interesting to call out there?
Ben Almanzar: Let me start with your first question. This is already captured within the guidance.
Zoran Bogdanovic: So Matthew, on start of the trading of the new year, I can say that it’s in line with our expectations with the revenue generation, and we saw some positive volume growth and we’ll continue. It’s very early in the year, but so far, in line with expectations.
Operator: The next question is from Sanjeet Aujla of UBS.
Sanjeet Aujla: Two questions from me. Firstly, within the 6% to 7%, I know you spoke a little bit qualitatively about contribution from volume, pricing and mix. Would you expect an equal contribution from each of those levers or a little bit more of a price/mix heavy weighted year just given the inflation backdrop to long COGS? That's my first question. And then secondly, I'd just like to dig a little bit deeper into Nigeria and how you're managing operationally there, particularly with FX scarcity? And to what extent that's all factored into your guidance as well?
Zoran Bogdanovic: So in our top-line guidance, as we said also last year at the Capital Markets Day, we do see that in '24 we would have a more balanced play of the drivers of revenue generation where price and mix will remain an important driver, but also we count on the volume component. And just to say that we wouldn't necessarily see the volume being higher than what was 2023, at least from today's visibility. And a reminder that how we approach this as we have such a variety of markets where we operate, that our revenue growth management capability and framework really enables us to zoom in, in every market and do a segmented approach for whatever this market needs with all the factors that we take into account, and I'm happy to elaborate on that more if needed. Now turning to Nigeria. Very pleased with how the country has performed last year. In spite of several challenges that we've seen coming at us last year, remember from the bank notes and then the devaluation, but I have to really start, first of all, giving huge acknowledgment to a strong team and the way they operate. And we see the benefit of constantly investing year-on-year in strong capabilities and strong talent in every single role. So that enabled us to react probably faster than anyone else in the market. Listen, we also leverage on the years of experience. Very proud to say Nigeria is a [Cradle of Hellenic] more than 70 years. So we know the market extremely well. And then you combine that with a strong team capabilities, excellent partnership with the Coca-Cola Company with the very good programs. So all that really holistically results in a strong improvement. Therefore, another year of strong share gains is just one of the indicators. Now you are right, FX in Nigeria is one of the points that could be better. We have been encouraged over the last 2 weeks with some opening availability that we have leveraged. And I have to say also that together with the Coca-Cola Company and us have some very productive meetings in Davos with the senior representatives of the Nigerian Government, Vice President as well as Minister of Finance. And we really heard some very pragmatic and strong views in the way how they plan to tackle the thing. So we really left cautiously optimistic. And this thing that we've seen in the last 2 weeks gives us some encouragement and evidence that there may be some really walking the talk that we heard over there. So that's it.
Sanjeet Aujla: Just to clarify that point quickly, Zoran. Just on the last few weeks, you've seen a bit more availability of FX is it or what's really changed?
Zoran Bogdanovic: Yes, yes. We had some availability of FX which we have captured.
Operator: The next question is from Simon Hales of Citi.
Simon Hales: Congratulations, Ben, on the new role. Good luck. Just a couple for me then, please. Just coming back to the guidance, from an EBIT standpoint, it does look like you're getting either very little or no EBIT margin leverage in 2024. Is that lack of potential margin leverage at this point already driven by the transactional FX headwinds you're seeing in Emerging or do you expect to see limited or no margin expansion in some of the established and developed markets, which clearly saw some good profit growth in 2024? Just trying to understand the moving parts there. And then maybe associated with that, coming back to one of Ben's earlier sort of comments, you talked about the fact that you could reach the upper end of the EBIT guidance range if your COGS were lower than you currently expect in the year. How much flexibility is there on COGS at this point? How hedged are you? What could drive that improvement?
Zoran Bogdanovic: Okay. So let me start with the first part of your question, which is around the shape of the segments. So as you know, we don't guide by segments. But if you think on growth terms, let me say perhaps something that can help with the modeling. If you look at 2023 results, you saw that we expanded EBIT organically across all 3 segments. But the performance was stronger in Established and Developing markets as they are emerging markets, as you rightly say, headwinds from the currency side. Thinking broadly in 2024, you can expect that if FX remains where it is, similar type of headwinds. So therefore, that's the kind of shape and growth terms that you can think about 2024. On your second question around the COGS, so we've guided to essentially COGS in the low-to-mid-teens. And I remind you that this is really all-in. So it includes -- it's on a comparable basis. So it includes the effect of inflation, transactional and translational effects in there. So that's the best view that we have at the moment. We are approximately hedged around 50% of input costs in commodities associated with input costs. And we'll continue to try to improve that position as the year progresses.
Simon Hales : Got it. So just coming back to the first point around the shape of margins, you're not necessarily guiding for margins to be down or see contraction in Established and Developing?
Zoran Bogdanovic: What I said is that we’re guiding to 3% to 9% margin expansion and I explained the conditions that will take us to the top of that range. We will imply the margin expansion.
Operator: The next question is from Edward Mundy of Jefferies.
Edward Mundy : I've got two, maybe 2.5 questions. Let's try the first one, which is really around Sparkling and Energy. If we look at your core Ice Sparkling, what are the 2 or 3 things that you're most excited about the Sparkling category? And why is it so healthy relative to history? And then as part of the same question on Energy. When you think about your penetration and your portfolio relative to more mature markets such as the U.S., what is it really get us excited around Energy as you progress towards double-digit of sales? And then my second question is from the Coke call yesterday, they mentioned very clearly that every time a refranchising has taken place, there's been a step-up in performance, and there's a couple of pieces still left. As a pretty aligned and very well-capitalized bottler, how are you thinking about taking on more franchises? Is it just a question of valuation in ROIC or strategically, you're pretty happy with your current footprint given you're able to throw off quite a bit of growth on an organic basis?
Zoran Bogdanovic: Let me start with your first part of Sparkling and Energy, the categories we really love. Well, on Sparkling, as a reminder that Sparkling has a strong performance, has already started with really good momentum before, call it, then during COVID proved very good resilience. And now post-COVID we've seen really Sparkling performing extremely well. And it's not by chance, because there are so many factors that come together. I think that Coca-Cola Company team, product reformulations, addressing the sugar element, so providing now variance of zero sugar, even going further with the zero sugar Zero caffeine or smaller sugar content. So there is a variety of choices that really now cater to consumer needs and desires. Then I think the whole marketing revamp and a completely new direction that Coca-Cola Company has taken and starting with the Coca-Cola brand, but then further on with flavors. I mean, we really see the benefit of more dedicated resources, more investments, more contemporary marketing campaigns and a big leverage of the digital, also recruiting and engaging with younger generations. So we really see the whole suite of things happening. And then blended with our strong execution where Sparkling always has the most prominent space and attention. Whenever we make the plans, we always start with the notion that Sparkling plants have to be fully developed, fully funded and then we continue with the rest of the plant. I think I already mentioned, let me just say one last thing on that point is that in the last reorganization where Coca-Cola Company has also split on a global level. There is a focused team behind Coca-Cola Trademark. And then there is a dedicated team behind flavors. That really plays a big role and we see more attention, more investments, more support behind flavors. You heard us saying how Sprite is performing very well, just as one example, but also relaunch of Kinley what we do with Schweppes. So I could go on, but I think that the history shows very well Sparkling performance and it gives us very strong confidence that it will continue so. Moving on to Energy. 8th year of strong double-digit growth happens with the fact that we know this category well through close partnership with Monster. We know that brand stratification does play a role so that we have proposition for each consumer segment, either in the lower end or mainstream or the premium. The level of innovation that most team comes up every year constantly gives novelty in the category. And we see how the cohort is expanding that more and more users are coming into Energy category. We've been constantly investing in coolers, also in the execution in the market and we see how emerging markets are reacting really well. I mentioned Nigeria and Egypt. So we're encouraged that Energy will continue driving strong growth. That's why exactly those 2 categories plus Coffee, we really see the data based in for that. This is where the biggest chunk of growth will come. And then on the point of refranchising, first of all, we really love the current set of territories we have. We really think we have a fantastic pool of a variety of markets which really gives us the opportunity to deploy our strategy in a tailored way. But equally, as you've seen, our balance sheet is very strong. We know we have a strong team. We have strong capabilities. We have a strong balance sheet. So we are very open, but refranchising is fully in the hands of our partners, of the Coca-Cola Company. And time will tell in the future if there can be any opportunities. But what I only can say on behalf of Hellenic is that we – for the right opportunities, we are always open and keen.
Operator: The next question is from Olivier Nicolai of Goldman Sachs.
Olivier Nicolai: Two quick ones, please. First of all, can you give us a bit more details on the low-to-mid single-digit COGS inflation guidance that you gave? What are the building blocks? Is it driven by glass? Is it sugar? It would be great to have a bit of an idea within the different input costs that you are using? And then secondly, in developed markets, is it fair to assume that pricing should moderate more in line with inflation in 2024? And are you able to share any updates on the negotiation you had so far with your retailers in key markets in developed countries?
Zoran Bogdanovic: Yes, let me give you some color about what are the drivers of that COGS per case guidance. So what we're counting on some moderation in commodities like aluminum and PET. We're also anticipating more pressures in sugar in 2024. It's also important to remember that nearly 1/3 of our COGS is actually concentrate and it moves with revenue growth. That guidance that we provided incorporate also the transaction FX impacts in '24, such as the devaluation of the naira that we've already seen, which increases the cost of ingredients in euro.
Ben Almanzar: Olivier, I will touch on pricing. So as I mentioned earlier, pricing remains an important driver of our revenue generation. We do see that it will be on a more moderate level than last 2 years. However, it will remain a driver. This really depends from market-to-market. We start with the inflation levels across our countries. There are no countries with the negative inflation. We do see that it’s on a lower level than the year before. So there are a number of markets with either low or mid or even high-single-digits, but there are also markets with double-digit inflation. So it’s going to be specific for market. And as much as needed, that will inform our revenue growth management together with currency movements, competitive play, of course, all the time following the elasticities. So all that and other factors taken into account, the bottom line is that we do see pricing happening this year. And in conclusion, on a more moderate level than last year. I’m extremely pleased that last 2 years when there has been a lot of pricing, we have worked collaboratively with our customers. And therefore, we did not have any issues with any negotiation with customers because we really don’t approach it on a transactional level. This is on a partnership level where revenue growth management genuinely helps us to drive the joint value creation with customers so that this has to work for us, but equally for customers, but also has to provide value for our shoppers and consumers. That’s why this is blended with marketing elements, with promotional elements. So there is a whole suite of things that actually we put on the table when we talk with our customers. And I can say that also any recent negotiations have been successful and fully aligned with our customers.
Operator: The next question is from Ryan Fintan of Goodbody.
Fintan Ryan: Fintan Ryan here from Goodbody. Firstly, just congratulations, Ben, on the years he has had at CCH and sort of the best luck with everything in the future. In terms of my questions, I’ve got one larger question on mix. And specifically, could you talk us through some of the moving parts we should think about for 2024 in terms of pack mix and pack mix and format mix? So I’m thinking specifically around single-serve product mix. How – what do you see – what’s your best-in-class single-serve penetration? And where are you in terms of the journey of getting that across different markets or regions? And then also in terms of category mix, we’ve seen quite significant declines in Water volumes in 2023, both in Established and Developing. How much of that is going to sort of follow through into 2024? And are there any other sort of big category mix drivers like that? What we should be thinking about in terms of our volumes, revenues and EBIT growth for the following year? And then just a small follow-up in terms of the Egypt. I guess, you’ve taken a quite substantial impairment of your Egyptian business. Could you talk about the main drivers of that? Is that purely the sort of the FX depreciation you’ve seen since acquisition or has there been any change in terms of your mid-term growth ambitions for the Egyptian market?
A – Zoran Bogdanovic: On the mix, excellent question, because this is one of our focus areas year-on-year. And every year, we are making progress with the mix improvement and 2023 was no exception. This is because we focus on single bottles of single-serve both in out-of-home, however, more and more also in the at-home. Connected with that is multi-pack, so single-serve, that we are more consciously driving in creating the consumer habit of buying single-serves versus the bigger multi-serve bottles. This is where we are also leveraging our mix ability programs both in the away-from-home, for example, in the bars and in that way stimulating the more frequent consumption of the single-serve, but also in at-home. We have also, as a part of our revenue growth management, we identify opportunities where we need to launch different sizes of single-serves. And I can mention – and also taking into account the affordability, which we take very much into account in these days. I can give you some examples where we introduced some of the new entry packs like a 300 ml PET in Hungary and Romania. We launched 250 ml can in Ukraine. There are more of multi-packs of mini cans in a number of countries. So I’m very pleased to see how all countries are moving their mix of single-serves higher and higher. Coming back, Fintan, to your question about some of the best markets, I can mention Ireland, which is on around 78%, 79% single-serve mix. And then we have several markets above 50%, which is like Greece, Italy, Switzerland is on a high level. So we have a pool of countries from which other markets can learn and get inspired and that’s exactly what we do when we transfer good practices among the countries. Moving on to category mix. I reinforce that our biggest priority are Sparkling, Energy and Coffee. And these are more valuable categories than, for example, water or juices. And this is where our priority is. That’s why we do expect that category mix should also be a positive contributor next to the package mix in how we will drive the overall revenue. And the point on Egyptian impairment, I already earlier said a number of things for Egypt. I would just say that this impairment is a reflection of short-term volatility, but I really want to emphasize that we remain very confident on the importance and potential of this business. And we just felt this was a prudent thing to do at this point. Does that help, Fintan?
Operator: The next question is from Charlie Higgs of Redburn Atlantic.
Charlie Higgs: I've got two quick ones, please. The first is just going back to organic sales growth guidance, 6% to 7%. I think there's quite a few things coming in that are going to help the pricing like 3 DRS schemes, sugar tax and then half year of sugar tax in Russia. Can you maybe just walk us through how those impact the top-line? And what you're assuming the consumer response will be? Do you think it would just be business as usual as all these things come in? And then my second is just, Zoran, can you maybe just comment on the health of the consumer in some of your markets? Has anything changed dramatically in Q3 versus Q4 or at the start of the year? I appreciate there's quite a lot of bad weather involved as well.
Ben Almanzar: So on this 6% to 7%, specifically on several markets, you pointed out very well that there are some markets where there are either regulatory or taxation drivers that are also pushing our pricing. Romania is probably the most active one where -- let me just remind already that last year, from January 1, they increased the VAT by 10 percentage points. Then this year, they started with excise tax, which also then initiated that we fully pass on that taxation to consumers as we always do. Then DRS started, as I mentioned. Then we have in Ireland DRS that started. And there is kind of a soft DRS start in Hungary. So all that is causing that pricing to consumer -- to customers, but then also to consumers because there is a domino effect of how this works. Now we do know that in the first year when something like this happens, we do expect that it's going to have an impact on demand. But we also know that beyond 1 year, when the things are cycled out, we know that then every single market so far has always bounced back and we expect the same from these markets. So needless to say, we were fully ready with our plans incorporating all this in the whole revenue growth management. So we are just now in the execution phase.
Zoran Bogdanovic: And then on consumer, look, we don’t see any major change because we’ve seen that all categories and market has been growing even on a volume level last several months to whole NARTD is in the positive territory. So consumer remained fairly resilient in this volatile environment. We follow very closely consumer sentiment. And whenever we see any signs, we respond in an agile way and very quickly adopt our plans. Now truth is also that affordability remains very relevant in this environment and this has been fully embedded in our plans. And as I said, we monitor it very closely. But always, we pay attention not only to affordability, but also premiumization, which even in this kind of environment has its role and purpose. So that’s all I could say, Charlie.
Operator: The next question is from Andrea Pistacchi of Bank of America.
Andrea Pistacchi: Two questions, please. So the first one is on Coffee, which is clearly growing very strongly for you. So the -- I think you said it's got to about 1% of revenue. The question is, how is profitability evolving here? Have you broken even yet this year? And what sort of scale do you need in Coffee for margins to approach Group level, please? And then the second question really following up on this last question on the consumer environment, you're saying that you haven't seen major changes. So the question is how are you feeling about the sort of outlook for volume, particularly in Developing an Established market? I think when I look at consensus forecast on the macro for a lot of Eastern Europe countries, there should be quite an improvement in GDP growth in Eastern Europe this year, and you'll be facing easy comps in both regions. So do you think you'll be able to grow volumes in these regions in 2024?
Ben Almanzar: On Coffee, which we take as a strategic bet, and that’s why we call it out in those top 3 [Indiscernible] categories. We are front-loading our investments in the teams, in capabilities, in our Coffee Academy, in equipment, in our baristas. So it’s a whole suite of things and technology that we are investing. And this is for us, it’s a marathon. It’s not a sprint. And we know that our profitability will gradually improve, and we do see how last year it went in the right direction. And we do expect that it will come to the positive level and then it will continue. So we do have a strong expectation from this category because category overall is a profitable one, but we are also very mindful that building our right to win in the right way takes time. And we are very patient because we are really building this for the mid and long-term. And I’m very encouraged that every year, we are doing clear proper steps in the right direction. On the second one, I would bring back to Andrea to our overall outlook that we said that we see all segments contributing to our overall growth algorithm of 6% to 7%. And we do see that also Established and Developing really fit in that space with both – sorry, with all 3 levers of price, mix and volume.
Operator: The next question is a follow-up from Sanjeet Aujla of UBS.
Sanjeet Aujla: Just a quick follow-up on Nigeria and Russia again. Can you just give us a sense of how much of your COGS in those markets are dollar-denominated? And within the transactional FX guidance, are you hedged in any way, shape or form on transaction?
Ben Almanzar: Yes. Sanjeet, thanks for the question. We don’t disclose the COGS by individual business unit. But on your question around whether we hedge in those markets, yes, to the extent possible, we do.
Operator: Gentlemen, there are no more questions registered at this time.
Zoran Bogdanovic: Okay. Well, thank you, operator. I would like to thank everyone for taking part in today's call. And let me just briefly conclude that we are very pleased with our performance last year. And we feel exceptionally well positioned to continue our growth story in 2024 and beyond. Thank you very much and good bye.